Operator: Hello, welcome to P10, Inc.'s fourth quarter and full year 2025 conference call. My name is Kevin, and I will be coordinating your question-and-answer session. As a reminder, today's conference call is being recorded. I will now pass the call over to your host, Mark C. Hood, EVP and Chief Administrative Officer. Mark, please go ahead. Thank you, Operator, and thank you all for joining us. On today's call,
Mark C. Hood: We will be joined by Luke A. Sarsfield, Chairman and Chief Executive Officer, and Amanda Nethery Coussens, EVP and Chief Financial Officer. After our prepared remarks, Richard J. Jensen, EVP, Head of Strategy and M&A, and Sarita Narson Jairath, EVP, Global Head of Client Solutions, will join us for our Q&A session. Before we begin, I'd like to remind everyone that this conference call as well as the presentation slides may constitute forward-looking statements within the meaning of the federal securities laws including the Private Securities Litigation Reform Act of 1995. Forward-looking statements reflect management's current plans, estimates, and expectations and are inherently uncertain. Actual results for future periods may differ materially from those expressed or implied by the forward-looking statements due to a number of risks and uncertainties that are described in greater detail in our earnings release and in our periodic reports filed from time to time with the SEC. The forward-looking statements included are made only as of the date hereof. We undertake no obligation to update or revise any forward-looking statements as a result of new information or future events, except as otherwise required by law. During the call, we will also discuss certain non-GAAP measures that we believe can be useful in evaluating the company's performance. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release and our filings with the SEC. I will now turn the call over to Luke. Thank you, Mark. Good morning, everyone, and thank you for joining our fourth quarter and full year 2025 earnings call, which also marks our inaugural call as P10, Inc. Our name and brand usher in an exciting new chapter for our company. The P10, Inc. name and branding represent the work we have done to expand our platform, more fully integrate our strategies, and reinforce our enduring commitment to delivering durable alpha for clients. Before I discuss our financial results, I would like to provide some background on our new company identity, which aims to capture our growth trajectory as a cohesive, integrated enterprise. Over the past two years, our broad leadership team has embarked on a significant strategic transformation that continues to drive meaningful improvements across our platform. During this time, we doubled down on our strengths and further evolved into a world-class firm with more than $43,000,000,000 in assets under management. Over the past two years, our fee-paying assets under management have increased by 27%. Importantly, our robust growth is not attributable to a single asset class.
Luke A. Sarsfield: Rather,
Luke A. Sarsfield: it reflects a cohesive synergy
Luke A. Sarsfield: across our private equity, private credit,
Luke A. Sarsfield: and venture capital strategies, resulting in robust and consistent year-over-year expansion. As we have executed on the strategic growth initiatives outlined at our 2024 Investor Day, we felt it appropriate and timely to adopt a new name that better informs who we are today
Luke A. Sarsfield: and where we are headed in the future.
Luke A. Sarsfield: For your awareness, a ridge post is a marker on higher ground, symbolizing stability, perspective, and protection. From this vantage point, P10, Inc. sees opportunities that others miss, reflecting our distinct positioning at the nexus of the middle and lower middle market, an underserved segment that presents abundant opportunities and secular tailwinds. For our employees, the new identity reflects the progress we have made integrating our strategies into one collaborative platform with a shared purpose and direction. For limited partners, it reinforces our commitment to always putting clients at the center of everything we do while delivering consistent access to differentiated strategies across a scaled global network. And for our general partners, P10, Inc. offers a world-class, complementary partnership with a robust set of capabilities across the capital stack.
Luke A. Sarsfield: Next,
Luke A. Sarsfield: I would like to discuss the Stellus acquisition we announced last week. Stellus is a leading direct lending platform providing senior secured loans to sponsor-backed lower middle market companies in the United States. They have approximately $3,800,000,000 in assets under management, including $2,600,000,000 in fee-paying assets under management. You have heard us talk about our organic growth strategy and where we are focused. We have discussed wanting to do transactions that extend our capabilities, where there is a shared culture and vision, and that are value additive from a shareholder perspective. In terms of asset classes, you have heard us talk about our goal of adding broader direct lending capabilities and particular interest in places where we think we can help drive transaction sourcing given our middle and lower middle market sponsor ecosystem across our platform. We think this transaction hits all those areas and is a fantastic addition to our platform. The Stellus team has invested more than $10,300,000,000 of capital across more than 375 companies over its 20-plus year history. They have grown fee-paying AUM at a 17% CAGR since 2020 and have a proven track record of launching new vehicles. They started with a publicly traded BDC, Stellus Capital Investment Corporation, and have subsequently launched multiple private funds as well as a private BDC. In materials available on our website, we show the very natural fit of Stellus' sponsor relationships with our other strategies. In particular, the profile of RCP sponsor relationships maps very well with Stellus'. The median last fund size of sponsor relationships at both is about $600,000,000. We think this has the potential to help open greater sourcing opportunities for Stellus.
Luke A. Sarsfield: We have also talked about the significant benefits
Luke A. Sarsfield: of the middle and lower middle market. In particular, favorable supply-demand imbalances help drive attractive risk-adjusted returns. And we see that in Stellus' profile, where their disciplined underwriting process combines with structurally lower financial leverage in the lower middle market to drive low historical default and loss rates. From a financial profile perspective, we think the transaction is compelling for our shareholders, with modest ANI per share and FRE margin accretion in the first year. Both measures do not consider revenue or cost synergies, including the potential sourcing opportunities I mentioned. We are truly thrilled to welcome Rob, Josh, Dean, Todd, and their team to the P10, Inc. family. They have built a fantastic business. We think they are a tremendous fit and that their addition to our platform will help grow our franchise in a strategic, culturally aligned, and financially accretive way.
Luke A. Sarsfield: Now
Luke A. Sarsfield: I want to turn to our 2025 financial performance and platform-wide accomplishments. In 2025, we continued to make meaningful progress across our strategic growth initiatives,
Luke A. Sarsfield: over the course of the year,
Luke A. Sarsfield: we raised and deployed a record $5,100,000,000 of organic gross new fee-paying assets under management, finishing the year at $29,400,000,000 in fee-paying AUM. We exceeded our initial annual organic fundraising guidance by over $1,000,000,000. For the full year 2025, fee-paying AUM increased by 15%. Fee-related revenues, excluding direct and secondary catch-up fees, increased by 13% and FRE margins came in a bit better than expected at 47%. This robust asset growth demonstrates strong demand for our primary, direct, and secondary funds, of which we had 24 total in the market over the course of the year, and around 20 in the market as of 12/31/2025. There is another important 2025 achievement I want to highlight. One of the topics we discussed at our Investor Day in September 2024 was the ability to leverage our cross-marketing capabilities across our global client base. Since then, we have made meaningful progress expanding our data integration capabilities across the strategies, augmenting our cross-selling efforts. We saw existing clients invest incrementally across P10, Inc. into other strategies at an accelerating pace. Over 10% of our capital raised since Investor Day were successful cross-sales. As we continue to hire high-quality fundraising professionals and strengthen the global client solutions team, we are confident in our ability to broaden our reach across all strategies and deepen our client relationships to attract even more capital from existing LPs.
Luke A. Sarsfield: Further,
Luke A. Sarsfield: we believe the key to continuing this consistent growth is strong fund performance, coupled with ongoing product innovation across geographies and asset classes. P10, Inc. expanded its product set in 2025 to better meet investor demand for increased exposure to private markets while preserving transparency, alignment, and downside protection. To that end, we created our first evergreen product, landed a significant SMA, and launched our first fund that is directed exclusively at European investors who want to invest in the North American middle and lower middle market. Also noteworthy in 2025 was the completion of the acquisition of Qualitas Funds this past April. Qualitas Funds is a Madrid-based private equity fund-of-funds manager, and its addition to P10, Inc. established our presence outside the U.S., which we have since augmented with the opening of our new Dubai office. As we continue to expand globally, we will look to partner with exceptional firms like Qualitas Funds to give us structural advantages in key markets.
Luke A. Sarsfield: In addition,
Luke A. Sarsfield: to our financial and operational successes, we have made meaningful enhancements to our governance profile and broadened the reach of our brand. In April, we appointed two new independent directors to our board. Steven Blewett, an accomplished private markets investment professional, joined the compensation committee, and Jennifer Glassman, a private markets seasoned professional and CPA, is now our audit committee chair. Further, in August, we announced our dual listing on the NYSE Texas as one of the exchange's founding members.
Amanda Nethery Coussens: Finally,
Luke A. Sarsfield: we continued our commitment to returning capital to shareholders in 2025.
Luke A. Sarsfield: Since the beginning of 2024,
Luke A. Sarsfield: we repurchased nearly 11,000,000 shares at a weighted average price of $9.69, representing over $105,000,000 in aggregate. Looking ahead, the future for P10, Inc. is very bright. During our Investor Day presentation in September 2024, we said that we intended to more than double fee-paying AUM to $50,000,000,000 by 2029, with the vast majority coming from organic growth. We are committed to executing on value-creating M&A, and we guided organic FRE margins, excluding M&A, to the mid-40s in the near to intermediate term and to closer to 50 in the out years. It is clear to us as we report 2025 results that we are well on our way to meeting or exceeding our long-term guidance. With respect to fundraising, specifically over calendar years 2026 and 2027, we expect to organically raise and deploy at least $10,000,000,000 of gross fee-paying assets under management. This target is consistent with the fundraising profile we have established since my appointment as CEO, with capital formation expected to be distributed roughly evenly
Luke A. Sarsfield: across both years.
Luke A. Sarsfield: Importantly, this target excludes the positive impact of Stellus and other potential acquisitions. In a moment, Amanda will provide additional detail around our financial guidance. In closing, we are off to a fast start in 2026. We have successfully executed on our rebrand, announced the strategic acquisition of Stellus, and opened our new office in Dubai, strengthening our presence in the Middle East. Another noteworthy announcement is our new collaboration with CAIS, a leading alternative investment platform for independent financial advisers. As a result, Bonaccord, our GP-stakes strategy, will join the CAIS platform, which serves over 2,000 wealth management firms and 62,000 financial advisers. This collaboration comes amid surging demand for alternative investments among financial advisers. A recent CAIS-Mercer survey revealed that nine in ten financial advisers are currently allocating to alternatives, and 88% of advisers plan to increase their allocation to alternatives over the next two years. Our CAIS relationship
Luke A. Sarsfield: represents an important step in expanding Bonaccord’s footprint
Luke A. Sarsfield: across the wealth management ecosystem.
Amanda Nethery Coussens: Together,
Luke A. Sarsfield: these milestones reflect a firm that is scaling with intention and positioning itself for durable, long-term growth. And we are doing this in what we believe is the best part of the market, the middle and lower middle market. We think of ourselves as the growth engine for America's small businesses, and we are proud of the positive impact we are having on our nation's economic growth. We believe this momentum, combined with our differentiated focus and expanding global footprint, positions P10, Inc. well for the year ahead.
Luke A. Sarsfield: With that,
Luke A. Sarsfield: I will turn the call over to Amanda to provide a deeper look at our financial results and guidance for the year ahead.
Amanda Nethery Coussens: Thank you, Luke. At the end of the quarter, fee-paying assets under management were $29,400,000,000, a 15% increase on a year-over-year basis. In the fourth quarter, $841,000,000 in organic fundraising and capital deployment was offset by $535,000,000 in step-downs and expirations. As Luke mentioned, we expect strong fundraising from 2025 to carry into 2026 and 2027, as we are targeting $10,000,000,000 of gross organic fundraising and deployment over the next two years, excluding impact from acquisitions. In 2026, we have multiple funds in the market from each of our three core verticals: private equity, private credit, and venture capital. Step-downs and expirations for 2025 exceeded our initial expectation of 5% to 7%. As discussed in our third quarter earnings call, the increase is primarily attributable to two factors. First, there were early paydowns in our credit business, which reflects the high-quality nature of our loan portfolio and underwriting. A portion of the credit step-downs consists of recyclable capital, which is actively being redeployed. Next, a large separately managed account expired in 2025, which was replaced by a larger commitment from the same LP in 2025. Although these two factors increased our step-downs and expirations for the year, they reflect the strengths of our portfolios and demonstrate long-lasting relationships with valuable clients. Looking forward to 2026, we expect step-downs and expirations in the mid-range of 5% to 7% for the full year. AUM, which includes NAV, uncalled capital commitments, and capital committed since the NAV record date, was over $43,000,000,000 across the platform as of 12/31/2025. We continue to view fee-paying AUM as the best proxy for P10, Inc.'s current economics, while we believe AUM helps illustrate the breadth and scale of our multi-asset-class platform. FRR in the fourth quarter was $81,000,000. When excluding the effect of direct and secondary catch-up fees, FRR increased 20% from 2024. For 2025, FRR was $297,300,000. When excluding the effect of direct and secondary catch-up fees, given the outsized catch-up fees in 2024, primarily attributable to Bonaccord II’s final close, FRR increased 13% from 2024. The strong growth of our core business highlights the durable nature of our attractive revenue model. The average core fee rate was 109 basis points in the fourth quarter and 104 basis points for 2025. We anticipate the core fee rate to average 103 basis points for 2026. The core fee rate is expected to be lower than 103 basis points in the first half of 2026 and expand in the back half in line with our historical fee rate dynamic. The core fee rate expands in the back half of the year due to the seasonality of our tax credit business. In addition to revenue from our core fee rate, we expect to earn direct and secondary catch-up fee revenue in the range of $68,000,000 during 2026, with the majority of these catch-up fees in the back half of the year as our large direct and secondary products close on additional capital. In the fourth quarter, we had about 20 commingled funds in the market. Our private equity strategies raised and deployed $325,000,000, our venture capital solutions raised and deployed $178,000,000, and our private credit strategies added $338,000,000 to fee-paying assets under management. Throughout 2026, we expect to have about 20 funds in the market as well. We will continue to pursue attractive SMA relationships and expect to develop new products in addition to our commingled funds. Operating expenses in the fourth quarter were $55,200,000, a decrease compared to $62,200,000 for the prior year's fourth quarter, and in 2025 were $231,800,000, a decrease compared to $235,800,000 for 2024. Operating expenses decreased in 2025 as we had certain adjustments related to prior acquisitions that included a reversal of a reserve within compensation cost. GAAP net income in the fourth quarter was $11,000,000, an increase compared to $5,700,000 for the prior year's fourth quarter, and in 2025 was $23,000,000, an increase compared to $19,700,000 for 2024. For the fourth quarter, adjusted net income, or ANI, was $30,200,000, representing a decrease of 14% from 2024. For the quarter, fully diluted ANI per share was $0.26 compared to $0.30 in the prior year. The decrease in ANI is a result of historically high catch-up fee revenue of $19,000,000 in 2024. FRE was $39,000,000 in the fourth quarter, a decrease of 9% year over year. In the fourth quarter, FRE margin was 48%. For 2026, we anticipate FRE margins in the mid-40s for the year, but may be slightly lower than mid-40s during the first quarter of the year due to the additional investments made across our platform in 2025 and early 2026, primarily in fundraising. FRE margins are expected to grow throughout 2026 as we begin to see additional operating leverage for an overall mid-40s margin for 2026 and continual margin expansion from mid-40s to 50 over the next few years. Our board of directors approved a quarterly cash dividend of $0.0375 per share, payable on 03/20/2026 to stockholders of record as of the close of business on 02/27/2026. Cash and cash equivalents at the end of the fourth quarter were approximately $28,000,000. At the end of the quarter, we had an outstanding debt balance of $377,000,000: $321,000,000 on the term loan, and $56,000,000 drawn on the revolver. Our strong balance sheet, free cash flow, and ability to draw on the revolver position us to complete the latest acquisition and prepare ourselves for additional inorganic growth. Thank you for your time today. I will now pass the call over to the Operator to begin the Q&A session.
Operator: If your question has been answered, you may remove yourself from the queue by pressing 11 again. We will now open for questions. Our first question comes from Kenneth Brooks Worthington with JPMorgan. Your line is open. The topic du jour for private markets managers is AI.
Luke A. Sarsfield: Can you talk about, given your venture exposure and direct lending exposure,
Kenneth Brooks Worthington: what your exposures are, and, ultimately, what are your thoughts on the AI risk to private market managers?
Luke A. Sarsfield: Well, thanks, Ken. It is Luke here, and you are right. That certainly does seem to be the topic du jour. I will say a few things about it. The first is, and I will separate our portfolio in a couple ways. The first is, obviously, you mentioned the venture portfolio where we have across
Kenneth Brooks Worthington: venture equity and venture debt. In that part of the portfolio, we are actually leaning in and actively investing into AI and other economic trends that we think are going to be net long-term positives for the economy, for the global economy, and ultimately for our investors. And so it will not surprise you to hear that we have meaningful exposure through our venture portfolio to AI. But the reality is that is by design. And I will tell you those investments have continued to go exceedingly well as we invest in the future economic drivers. When you look at what I would call the more regular-way parts of our portfolio that are not designed to be oriented in a specific way, we have, I would say, relatively modest exposure across our portfolio to SaaS and software and other places that there have been concerns that will be disintermediated by AI. I would say across our portfolio, generally, we have less than 10% exposure to SaaS and software. We disclosed, I think, as part of the Stellus acquisition that Stellus' exposure was less than 8%, just to put it in context. And the other thing I would just hasten to add is when you think about the SaaS and software exposure we have, these are not the large-cap names that you have been kind of reading about or have been kind of promulgated in the popular press. Ours are really business enablement, focused on advancing what I would call traditional industrial-like businesses in the middle and lower middle market. And so I think we are very comfortable with that. The last thing I would say is we engage regularly in a rigorous review of all of our core portfolio: our credit portfolio, our equity portfolio, our venture portfolio. And we feel exceedingly good about how we are positioned right now, Ken. Okay. Great. Thank you. And then maybe secondly, I wanted to ask about the private market wealth strategy build-out.
Michael Cyprys: When you and I spoke, I do not know, I want to say 18 to 24 months ago, it seemed like private markets was not the priority for you, and you had focuses in other places. And yet, you have an enhanced product. Bonaccord is now working with CAIS. So maybe talk about wealth and the priorities that you are seeing there. And to what extent can the Bonaccord-CAIS relationship be expanded to other P10, Inc. managers over time?
Luke A. Sarsfield: Again, great question. I would say a few things. I would say at the core, maybe I misspoke when I said we were not focused on private wealth. Recall that something like 36% of our clients are actually private wealth clients in some incarnation, whether ultra-high-net-worth individuals or otherwise groupings of ultra-high-net-worth individuals. What I think I said was we are probably not going to pursue a real aggressive feet-on-the-street approach to the private wealth channel as some of our competitors have, into places like the big wires in a comprehensive way and into places like the IBDs in a comprehensive way. But certainly, we see opportunities, given our product mix, given our portfolio, and given our historical client orientation, to take advantage of that and try to maximize that distribution and maximize our throw weight in the channels. And so you are right. We are looking at all features of our product design. As you mentioned, we did launch the evergreen product. We think that evergreen product, by the way, is going to have appeal both in private wealth channels but also in institutional channels. But we will certainly look at more alternatives around creative and innovative product design where we think there is going to be commercial uptake for it. And then I do think, to your point, one of the ways that we will probably manifest our interest and desire to grow that private wealth channel is through some sort of partnership or collaboration. And so CAIS, I think, is a great example of a collaboration with a platform that has a lot of relationships across private wealth and particularly those advisers in the private wealth channel who are more aggressively allocating to alternatives as a general matter. And so I think that is a great example of something we would do. I think over time, we would like to do more of it. We think there are other parts of our product offering that we think will have a lot of throw weight and a lot of appeal and appetite for private wealth, for both the advisers and for the end clients. And so we will want to do more of that. And there, as well, there are other potential partners or collaborators, we think, that could help us accelerate and facilitate that entrance into it. And so what I think I would say is as we approach it, we are unlikely to build a broad-based P10, Inc. distribution team solely focused on the wealth channel. That is probably beyond our ken right now. We want to get access to that wealth channel and are probably just going to do it in more creative ways and with partners along the way.
Michael Cyprys: Excellent. Thank you.
Operator: One moment for our next question. Our next question comes from Christoph M. Kotowski with Oppenheimer. Your line is open. Yes. Morning. Thanks for taking the question. I wonder if we could
Christoph M. Kotowski: get a bit more color on Stellus. We see it like $1,400,000,000 in BDC money, and I assume that the Part I incentive fees will be in the base management fees, and that should take your blended average fee rate higher. So let me start with that. What would their blended average fee rate be?
Luke A. Sarsfield: So I think what we would like to do, Chris, if it is okay, we gave some very high-level guidance as it relates to the Stellus acquisition. We talked about that it will be modestly accretive both to margin and to ANI EPS per share in the first full year. We have obviously done and engaged with them on a very robust and detailed modeling
Luke A. Sarsfield: exercise.
Luke A. Sarsfield: But I think what we are going to do right now is we are going to hold giving greater guidance on Stellus until we get closer to the closing of the acquisition. There is a closing timeline that we have to abide to, in terms of obviously getting the BDC boards to recommend the transaction and then having a shareholder vote. And so we will come back. Trust me. I promise. We will come back, as we get close to close, with much more robust guidance around how Stellus will impact every part of the P&L, from the fee rate on down, but we are going to do that when we get a little closer to closing.
Christoph M. Kotowski: Okay. That is fine and fair. And then I was just wondering, on page 19, we see a private BDC. Is that a kind of a—can you, if you can say, how is that distributed and what is their reach into retail distribution, and does that help your product platform?
Luke A. Sarsfield: I am going to turn it over to RJ, who is going to talk just very briefly around this. Again, I think at a high level, we will dive into Stellus in a much more detailed way as we get a little closer to closing, but we will give you a couple high-level thoughts. So RJ, over to you. Yeah. So the private BDC does focus on the RIA channel. They have got a distribution team working on that, growing that business. It was started with really five seed investors, and that has been the foundation, but they continue to grow it with a focus on the RIA channel.
Christoph M. Kotowski: Okay. And I guess that is it for me then. Thank you.
Operator: One moment for our next question.
Luke A. Sarsfield: Thanks, Chris.
Operator: Our next question comes from Michael Cyprys with Morgan Stanley. Your line is open.
Michael Cyprys: Just wanted to ask about Stellus. I was hoping you could elaborate a bit on their sourcing funnel
Luke A. Sarsfield: and origination edge, and while on the topic of 10 family versus the rest?
Luke A. Sarsfield: So great question. And I think this is something that we are laser focused on. We think there is already an amazing fit between what they do and the sponsor ecosystem they get after and the sponsor ecosystem that we have the ability to access. And we think together, collectively, we can do even more together. So just a reminder: they are primarily focused in a middle and lower middle market GP sponsor ecosystem. Most of their sourcing comes through that channel, obviously very focused on high-quality first-lien type credits, but direct lending across that sponsor ecosystem. And they have built, I would say, a very highly functioning sourcing engine with many of the top-quality GPs across the U.S. middle and lower middle market. So they start from a real position of strength. Now, I think what we bring to it is the broad-based sponsor ecosystem that we are touching across a number of our strategies. Obviously, RCP, given the history, given the track record, given the lineage, but also in many other parts of the ecosystem like Hark, like Five Points, like Bonaccord, and then potentially over time internationally like Qualitas, we think we have the ability to really increase that sourcing funnel in a meaningful way. We have talked about, and I mentioned on the call, the overlap between the types and the sizes of GPs and funds that RCP has historically continued to target and how that interlaces very nicely with the areas of focus for the Stellus framework. And so we think one of the things that we can do, and we can do reasonably quickly, by leveraging the overall P10, Inc. presence in that middle and lower middle market sponsor ecosystem is to really, A, get the word out that this is now important and relevant to us. Recall it was not in the past in the same way because we did not have a broad-based direct lending strategy where we could actually put the investments. Now we do, or now we will, I should say. And so the opportunity to do that, I think we can amplify in a very meaningful way. That is what we are going to be doing over the next four months, and then, obviously, once we close the deal and otherwise, a lot of work as we think about how we really drive that, how we create great outcomes, how we leverage our throw weight, our presence, our positioning in that ecosystem to really accelerate that selling and that sourcing at Stellus. Sorry, that is a tongue twister. And I think putting that together, we do believe that together, we can do more than either one of us could do apart. We have not modeled that in. We have not factored that in, in any of the financial analysis we talked to you about. It is our hope and our expectation that we can execute on that together. Great. Thank you. And then just a follow-up question more broadly on capital management. So if you could elaborate a bit on how you are thinking about that here in terms of allocating between buybacks, debt paydown, maybe post-close,
Michael Cyprys: and then more broadly on M&A? Just curious how you are thinking about the business today. Any gaps remaining? You have done a whole host of deals over the last number of years. How are you thinking about filling in anything at this point?
Luke A. Sarsfield: I will turn it to Amanda to take the first part on capital allocation, then, Michael, I will come back and take the second part on the M&A opportunity set.
Amanda Nethery Coussens: Thank you, Michael, for the question. Although we do intend to buy back stock to offset dilution from new issuances, we are also mindful of our debt leverage ratios and really intend to pay down debt after we close on the Stellus acquisition.
Luke A. Sarsfield: And then as it relates to kind of the M&A land, I would say at a strategic level, obviously, we view this as a real advancement in terms of what we have done on the platform. But I would say that the guideposts that we laid out at Investor Day are really unchanged in terms of our areas of strategic focus. So just to go back to those, we talked about, number one, international analogs of U.S. strategies. We think the dynamics in the international lower middle and middle market are very similar to the ones here in the U.S. middle market in terms of why it is such an attractive place to be. Obviously, Qualitas was a very specific manifestation of that. But if you look across all of our strategies, we think international analogs still represent a real opportunity for us, and we will continue to build in a global fashion where we can. The second thing we did talk about is private credit. And when we talked about private credit, we identified a number of important potential focus areas for us. Direct lending was obviously at the very top of that list. But there are a lot of other really interesting and attractive areas within the private credit landscape. I would say asset-based lending is one I would particularly point to as something we think might be very relevant for our portfolio. And so again, if we could find the right partner for that, that would be very interesting to us.
Luke A. Sarsfield: And then the third thing we have talked about,
Luke A. Sarsfield: and did talk about at Investor Day, which would really be the pure white space, is something in the real assets ecosystem—whether that is something in the infrastructure world, something in the real estate world, either from an equity or a debt perspective. We have really nothing there, and we do get a lot of client inquiry around those spaces. And so that roadmap that we laid out at Investor Day is really unchanged, and we continue to, I would say, focus and execute in earnest against that opportunity set. And the good news is I think there are a lot of great franchises out there. I think that our value proposition is really starting to resonate.
Operator: Great. Thank you so much. I am not showing any further questions at this time. I would like to turn the call back over to Luke for any further remarks.
Luke A. Sarsfield: I would just like to close by thanking everybody for the thoughts,
Luke A. Sarsfield: questions, and for your continued support. We are extremely pleased with the progress we have made to date. We are confident in the durability of our platform. And we are excited at the prospect of uniting under our new P10, Inc. name and brand while we remain laser-focused on executing our strategy as we enter the next phase of our growth. We look forward to updating you on our first quarter results in May. We thank you for joining us today.
Operator: Thank you, ladies and gentlemen. We thank you for your participation in the call. This does conclude the presentation. You may now disconnect, and have a wonderful day.